Operator: Greetings and welcome to the Fortuna Silver Mines' Second Quarter 2013 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Carlos Baca, Investor Relations Manager. Thank you, Mr. Baca. You may begin.
Carlos Baca: Thank you, operator. Good morning, ladies and gentlemen. I would like to welcome you all to Fortuna Silver Mines and to our second quarter financial and operations results call. Jorge Ganoza, President and CEO and Luis Dario Ganoza, our Chief Financial Officer will be hosting the call from Lima, Peru. Before I turn over the call to Jorge, I would like to indicate that certain information contained or incorporated by reference in this earnings call including any information as to our strategy, projects, plans or future financial or operating performance constitutes forward-looking statements. All statements other than statements of historical facts are forward-looking statements, the words, believes, expect, anticipate, contemplate, project, plan, intend, continue, budget, estimate, will, schedule and similar expressions identify forward-looking statements. Forward-looking statements are entirely based upon a number of estimates and assumptions that appear reasonable by the company are inherently subject to significant business, economic and competitive uncertainty and contingencies. Known and unknown factors could cause actual results to differ materially from those projected in the forward-looking statements. We disclaim an intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable law. I would now like to turn the call over to Jorge Ganoza, President, CEO and Co-Founder of Fortuna. Thank you once again to everyone for joining us.
Jorge Ganoza: Thank you, Carlos, and good morning to all. I am joined on the call today by Luis Ganoza, our CFO; I will initiate the conference and with assistance of Luis will be giving a summary and analysis of our operations and financial results for the second quarter of the year and the three-year outlook. Once concluded, we will address your questions. Our mines in Peru and Mexico recorded strong production and cost figures in the quarter in line with annual guidance. Silver produced was 1,074,000 ounces and 5,183 gold ounces. Compared to Q2 2012 silver is up 8% and gold down 11%. The company is on schedule to achieve its production guidance for 2013 of 4.5 million ounces of silver and 23,600 ounces of gold or 5.9 million silver-equivalent ounces. Silver accounted for 64% of sales, gold 16%, lead and zinc accounted for 20%. Our realized silver price for the quarter was $22.97 per ounce and $1,397 per ounce for gold. This was 21% and 13% lower respectively, when compared with Q2 2012. We met and even improved our cost guidance for the quarter. Recorded cash cost per tonne at Caylloma was $93.34 or 4% below guidance. At San Jose, we recorded $77, or 2% below guidance. Cash cost per ounce net of by-product credits at Caylloma and San Jose was $8.80 and $6.50, respectively. The consolidated figure for cash cost per ounce net of by-product is $7.58 for the quarter. Management has moved to implement a series of measures to ensure the company enhances free cash flow and is well-positioned in the current price environment. The main four initiatives include, one, streamlining of corporate overhead, we have obtained an annual reduction of 33% or 5.5 million in expenses. This includes a 33% reduction in corporate headcount. Two, focus on critical path and sustainability projects at our mines. Here, we have obtained a 24% reduction of $12.6 million in our 2013 guided capital budget taking it down to $40.1 million. Of the $12.6 million in reductions Caylloma reductions represent $12.1 million mainly coming from, one, cost of $3.6 million in camp infrastructure, two, $3.1 million in power infrastructure, three, $2.4 million in mine development. And, four, $2.3 million in plant improvements. At San, Jose, capital savings account for $0.5 million coming mainly from savings in the plant expansion and some reductions in mine development. Due to the investments in exploration, mine development and infrastructure of our mines over last years, we are in a comfortable position that allows us to tighten our capital budget at both mines for the period 2014 and 2016. For the three years, we are projecting average sustaining capital budgets of $8 million and $13.5 million at Caylloma and San Jose, respectively. Three, focus on high reward targets within brown field's explorations; the restructuring of our 2013 budget under this guideline has allowed to cut $3.7 million or 26% of its 2013 exploration budget. We have ceased drilling at Caylloma for the second half of the year and at San Jose, we are only focusing on drilling the extension of the Trinidad North high-grade discovery with 5,300 meters in the revised budget. Four, drive cost reductions at our operations. At Caylloma, we are planning for our reduction of operating cost of 8%, or $1.7 million for the second half of the year. This brings cash cost per tonne down to approximately $88 per tonne for Q3 and Q4, compared to the original 2013 guidance of $95 per tonne; main drivers for the planned reductions in costs are, $1.60 per tonne in mine preparation, $0.70 per tonne at the mill and $3.90 per tonne in indirect costs mainly, training, consultant services, and $2.20 per tonne in distribution costs mainly transport of concentrates and we’re changing the service provider as well. For the period 2014, 2015, we are projecting annual cash cost at appropriately $85 per tonne. At the San Jose mine, we are not revising cost guidance at this moment as we are not concluded with our internal review, but we can [inaudible] that an 11% reduction in headcount has been approved. As a result of headcount reductions at corporate and subsidiary, roughly a 12% reduction in overall company headcount, the company is expecting the main impact of severance costs to be recorded in Q3 with a projection of $0.5 million. We are reporting for the first time in this quarter an all inclusive sustaining cash cost per silver ounce figure net of by-product credits for each of our mines and the consolidated figure as well under the guidelines of the World Gold Council. We believe the all inclusive sustaining cost numbers will be helpful in affecting the ability of our mines and business to generate free cash, particularly important in the current pricing environment. For 2013, we are guiding for a consolidated all inclusive sustaining cash cost per silver ounce net of by-product of $20.50. This reflects a capital-intensive 2013 at both of our mines. For the three-year period 2014-2016, we project the same average annual figure at approximately $13 per ounce. This encompasses the capital and cost reducing measures previously discussed. Management will be reviewing the price environment closely and making adjustments to its budgets as required. At San Jose, we are planning to commission the new expansion to 1,800 tonnes per day this month of August. We are currently in the process of staffing the mill with a small load and concluding piping and electric installations. All major equipment has been installed already. The mine is scheduled to feed fresh mine ore at 1,500 tonnes per day in August and expand to 1,800 tonnes per day by November. We are looking to find opportunities to accelerate the round-up to 1,800 tonnes per day. On the exploration front, we will be releasing additional grid results for Trinidad North in the coming days. Drilling has stopped and is looking to resume in September from underground stations being developed. I will now let Luis take you through the financial statements.
Luis Ganoza: Thank you. We recorded a net loss for the quarter of $10.6 million, driven by an impairment charge at Caylloma mine in Peru. The minor impairment was $50 million before tax or $10.2 after-tax out of our current book value for Caylloma of $87 million. The impairment is a consequence of a sharp decline in the silver price in the past few months, which in the context of the rising operating cost we have accumulate at Caylloma over the past three years or so has impacted the economics of our Peruvian operation. We will reassess its figure at year end as is expected, in particular given by then we will have an updated research estimate and we should be in a better position to incorporate into our assessment the proposed reductions in operating costs. We have also reported adjusted net loss of $0.1 million after adjusting for the impairment charge and the write-off of mineral exploration projects related to the San Luisito property in Mexico. Silver sold in the period in terms of ounces was 10% above 2012, on the back of strong production, although goal was down 15%. Realized prices for silver and gold and our provision of sales in the period however was down year-over-year by 22% and 14%. In addition, we recorded $5.2 million of sales adjustments related mainly to the decline in the silver price throughout the quarter. The result of this was a drop in sales year-over-year of 22%. Our mine operating earnings fell by 62% to $6.5 million, mainly driven by the sharp drop in sales. Unit cash cost per tonne of processed ore in our operations as Jorge mentioned was in line with guidance, however above the prior period by 9% at the Caylloma mine and 16% at the San Jose mine. On our cash flow statement, for the first six months of the year, we generated net cash from operations of $24.2 million and consumed cash in investments of mineral properties, plant and equipment of $39.8 million, which includes a $10 million payment for the acquisition of the Taviche Oeste Concession, in Mexico. Total reduction in cash from the balance at year end 2012, excluding net movements of short-term investments was of $16.3 million for total balance at the end of Q2 2013 of $48.4 million, short-term investments. Thank you very much for listening to us. We would now like to turn the call over to any questions that you may have. Please state your name clearly.
Operator: Thank you. We will now be conducting a question and answer session. (Operator Instructions) Thank you. Our first question comes from the line of Benjamin Asuncion with Haywood Securities. Please proceed with your question.
Benjamin Asuncion - Haywood Securities: Good morning, guys. Thanks for taking my questions. I just want to clarify a few points here. First, I guess with San Jose and the ramp up. Any comments? Is the ramp up going as expected? Because, I thought we were looking for the mine to be producing 1,800 tonnes per day by November, and I believe I read in the MD&A that now we are looking at the first quarter of next year.
Jorge Ganoza: No. The MD&A indicates November and we are expecting to commission then the expansion. The mill should be ready to accommodate 1,800 tonnes per day through the course of this month of August, and the mine should be in a position to source fresh ore at 1,500 tonnes per day starting late August, and we should be in a position to feed fresh ore at 1,800 tonnes per day in November.
Benjamin Asuncion - Haywood Securities: All right, and perhaps you can just clarify the 29,000 tonnes of stockpiled ore. Could you give us a sense of the grades?
Jorge Ganoza: Sorry?
Benjamin Asuncion - Haywood Securities: The 29,000 tonnes of stockpiled ore you had mentioned, can you give us a sense of what the grades of that ore are?
Jorge Ganoza: The grade of the ore we have stockpiled in Mexico comes mainly from development and lower grade production tonnes that we have stockpiled mainly from the upper zones of the mine. I do not have the grade on top of my head here, Ben, but it's lower than the average grade of reserves. We should be in a position to source that ore to the mill worst case scenario we have large stockpile, but we are confident that the mine will be in a position to source 1,800 tonnes per day starting in the fourth quarter.
Benjamin Asuncion - Haywood Securities: Okay. Just lastly, the timing of the maiden resource at Trinidad North?
Jorge Ganoza: The new resource estimation at Trinidad North?
Benjamin Asuncion - Haywood Securities: Yes.
Jorge Ganoza: October.
Benjamin Asuncion - Haywood Securities: Okay. Just one thing to clarify, I guess, maybe for Luis here. With respect to the negative $5.2 million adjustment in revenues or provisional sales, can you give a breakdown of how much of that was revisions on Q1 sales that were closed during the quarter versus how much over mark-to-market adjustments at the end of the quarter?
Luis Ganoza: Yes. First of all, we disclosed that out of $5.2 million, there's a $1.6 million amount that is non-related to price adjustments, but rather add to adjustments and mostly related to sales from 2012. So, out of the remaining amount, the adjustments corresponding to sales that actually took place in previous quarters is around $1.2 million and the actual mark-to-market of June as the price at the end of June was lower and the average price of June is around $800,000.
Benjamin Asuncion - Haywood Securities: Perfect. So, we should see that come back during this third quarter sort of as a positive revision should metal prices sustain above that $18 level at the end of June, right?
Luis Ganoza: With respect to the mark-to-market, yes, I also believe that the current prices are above the average price of June as well, so we should see a revision of those final adjustments.
Benjamin Asuncion - Haywood Securities: Okay. The last question just maybe Jorge, there were some comments in the notes there with respect to Caylloma guidance going forward sort of over the three years and lower cash cost guidance due to the higher proportion of base metals. Does this have any impact on your silver production guidance then from Caylloma?
Jorge Ganoza: No. No, Ben. We continue to add roughly 2 million ounces of silver annually at the Caylloma mine up until mid range plan to 2016.
Benjamin Asuncion - Haywood Securities: Okay. What would be the cost per tonne guidance that's baked into those 2014 to 2017 numbers? Would you be able to provide them by mine?
Jorge Ganoza: Yes. We are guiding roughly $84 or $85 at the Caylloma mine for the period 2014-2016, and at San Jose, for the same three-year period, roughly $65 per tonne. Those are the cost figures that go into our all inclusive cash cost estimate that we provided in the MD&A and news release.
Benjamin Asuncion - Haywood Securities: Perfect. Thank you. I'll hop back in the queue and let other people ask some question. Thanks a lot, guys.
Operator: Thank you. Our next question comes from the line of Chris Lichtenheldt with Dundee Capital Markets. Please proceed with your question.
Chris Lichtenheldt - Dundee Capital Markets: Good morning, everyone. Just wanted to ask going back to your all-in sustaining cost of around $13 over the next few years, you indicated there's some savings on cost per tonne that are helping to bring that number down and lower capital spending. Is there also some element of high grading in that or are there changes to the mine plans that you are making in order to help reduce that cost per ounce?
Jorge Ganoza: The short answer is no. We continue moving ahead with our mine. The Caylloma mine is centered on the central portion of the Animas vein, where we have concentration of production areas. We have been working there for a number of years now. We have good services in terms of the [delayed shown] [ph], field infrastructure, power infrastructure. So, we will continue mining there and that's the natural sequence of the mining and mining planned for Animas and Caylloma, so there are no material changes to the plan. San Jose is a new mine, it's a well-designed mine on a very small area. The entire San Jose resource and reserves occupy an area that extends 500 meters longitudinally and roughly 450 meters vertically. Now, with the Trinidad North discovery, we are looking to extend it, but the mine is well concentrated and it's just following its natural sequencing as we laid it out in the original plan.
Chris Lichtenheldt - Dundee Capital Markets: Okay. That's helpful. I don't have all the numbers in front of me, but I seem to remember thinking that Caylloma was currently mining above reserve grade and that we would expect a natural declining grade. Is that true to your recollection?
Jorge Ganoza: Well, certainly what we will see in the second half of the year is a new resource reserve estimate, where we would expect a change in the types of our reserves and resources due to the new price assumptions that we will likely be using, so we would expect shorter reserve life with higher grade just as a natural consequence of pricing, but we would expect in our rerun; based on the current research, we will reserve our mine plan constantly. And when we see that concentration of reserves in the [current area of] [ph] mining, so that's why I am saying that we are not seeing a change or main deviation from life of mine or five-year plan that we use at this mines.
Chris Lichtenheldt - Dundee Capital Markets: Okay, so we are coming across higher grades any way and your reserve update may take out some of the lower grade ounces that were going to be coming later in the mine life any way. Is that fair?
Jorge Ganoza: Yes. And, probably, we'll see some significant shrinkage in deferred resource or the inability of some of the inferred we brought into reserves, so taking part in incurred or measure indicated, we do expect and I think the impairment we are taking right now is an indication of what we expect to see with the research at Caylloma.
Chris Lichtenheldt - Dundee Capital Markets: Okay. Is there any guidance you can give in terms of what the grade uplift might be like next year? I mean, we are talking 10%, 20% or?
Jorge Ganoza: (Inaudible). Again, it stays very closely to what we are currently mining in terms of head grades, because Caylloma does not show significant variation in terms of silver. We are going deeper in Animas, so we are expecting to see some higher base metals and that is contributing also to bring cost per ounce lower in our forecast, but mainly in terms of silver grade remains basically close to what the levels we are seeing to rain.
Luis Ganoza: Yes. And, I believe this Luis. It would also be relevant to add or complement to authority that said that the higher base metal grades are incorporated into that forecast for cash flow per ounce for a three-year period take place mostly in the later part of three-year period and that is just mining in the Animas vein and it concentrates on the deeper layers of the current production, so tier-levels 12 and 11.
Chris Lichtenheldt - Dundee Capital Markets: Then just lastly on Trinidad, you said we are getting initial resource in October. When would we expect drill results from your new underground drill station?
Jorge Ganoza: We plan to restart drilling from the underground in the month of September, so I would expect before year end we start seeing results, but we start drilling in September, will likely see results in November-December. We have a budget of little over 5,000 meters of which close to 3,000 are for underground drilling. Again, the aim of the underground program is to push the exploration product to the north, where we currently show the highest grades in the discovery zone.
Chris Lichtenheldt - Dundee Capital Markets: Great. Okay. That's it for me. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Nicolas Campbell with Canaccord Genuity. Please proceed with your questions.
Nicolas Campbell - Canaccord Genuity: Hi, guys. I am just wondering on the reserve financing, you are using 1,500 or $50 per ounce gold and about $28 per ounce silver. Where do you think you are going to be going with your own silver price assumptions in your reserve calculations going forward?
Jorge Ganoza: That's a tricky question. I would say that we are still in that process mix and we will certainly be looking to be more than 70s and last year but any [further] in terms of prices from the time of drop in silver, we thought this year will help get a better sense of direction moving forward, so we still have at least a month and so we had to make that decision, but we are still in the middle.
Luis Ganoza: We'll look for what you guys have put out in terms of long-term prices.
Nicolas Campbell - Canaccord Genuity: Okay. All right. Fair enough. I think actually most of my other questions have been answered, so I'll let somebody else ask the question. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Chris Thompson with Raymond James. Please proceed with your question.
Chris Thompson - Raymond James: Good morning, guys. Thanks for the opportunity of asking questions. Two quick question, one on San Jose. Just looking at some of the grades I guess released in the Q2. Just remind me again, are those sustainable into the near-term at San Jose.
Jorge Ganoza: Yes. The short answer is yes. We are projecting similar grades in fact slightly higher as the great profile of the mining improves with that, but in the same range no material change.
Chris Thompson - Raymond James: Okay. Great. Then as far as Trinidad North, so we are anticipating some results I guess next couple of days you mentioned earlier. When is the cut off as far as the grow results required for the up and coming resource estimate.
Jorge Ganoza: We are managing Trinidad North discovery in a way separate from the current inferred resources and the currently reported inferred resources and reserves. What we expect is that the bulk of the resources that were in Trinidad North will be likely in the inferred category. The area that we have been able to drill or put holes into is not a large area right now, but we have anyhow decided to go ahead and produce a resource estimation that even though we'll likely provide most of the resource in the inferred category, will allow us as we are currently mining there and we have a good operator, if you will, will allow our mine planners to start working on their projected infrastructure and plans and we can start playing with those figures in our mine models. So, that is the reason why we are moving ahead, so what we do at Fortuna, if we have a cut date for resources roughly June-July midyear, it's a cut date for resources. Then we are back for depletion by year end. We need to update the resource estimation for Trinidad North at any given time due to results. We will independently from entire inventory remain strong. I don't know if that is what you were asking, Chris.
Chris Thompson - Raymond James: No. That's fair enough. Just final quick question. And developments? How is the water situation at San Jose at the moment?
Jorge Ganoza: The water situation is good and sustainable. We have a large capital project at San Jose next year. If you look at the three-year all inclusive cash cost guidance we are providing, you will pick up that San Jose does carry a figure that is particularly 5% for example compared to Caylloma, and the reason for that is that next year we have a $12.5 million budget allocated at San Jose for the expansion of the tailings and the main reason for that is not just holding tailings, but also holding water. So, we continue with our plan. We do not have any weather issues right now and we are also moving with implementation of the operation technology, a solution to controlling operation, to help us enhance water availability, but basically everything is within our plan. We do not have any issues with water availability. At this point, we are connected now to a water treatment plant. We are sourcing water from there or have enough holding capacity to capture rainfall as the plan calls for. We are confirming our operations, so all that is good and according to plan.
Operator: Thank you (Operator Instructions) Thank you. Our next question comes from the line of (Inaudible), a private investor. Please proceed with your question.
Unidentified Analyst: Thank you. Two questions. First for Luis. How have your cash flow expectations for this year changed from where you were at the beginning of the year?
Luis Ganoza: Well, certainly, the prices in the earlier part of the year we were expecting to maintain a similar cash balance as geared towards year end compared to any other year in spite of our strong CapEx commitments in 2013. So, what we've done is our outlook section, if you have noted is we provided an estimate of our cash balance at year end, which take into account a reductions in capital budget, our projected reductions in operating costs and considers and $18 silver price for the second half of the year and $1,200 gold price and what we are projecting is around $43 million of total cash position towards the end of 2013. Now, moving forward it becomes evident from our all-in cash cost forecast for period 2013-2016, we would expect even at current price levels to be in a capacity to generate cash surplus moving forward.
Unidentified Analyst: Okay. One other question here for whoever wants to answer it. Given the current mine plan and I realize we can't talk about absolute numbers, but I am looking more for direction and a general sense of how the percentage of sales going forward is likely to shift given the increased output from the expansion of the mill in San Jose. Right now, we are doing 64% of the revenue from silver, 16% gold, lead, zinc about 20%. I assume that those relationships will be fairly similar for the balance of the year, but I am really trying to get a sense for what the impact of San Jose is likely to be in 2014 in terms of increased gold. I know it depends on prices and other factors, but again if you can give me some sense of what the company expects its percentage of metals contributions to be to revenue moving forward?
Jorge Ganoza: Yes. We can give a precise figure probably in a moment, but in general terms. The percentage of silver contribution for example, they were pretty much remained the same. But, for Caylloma, at current silver prices, we would expect the revenue composition to change with where silver was up to first quarter of this year contributing around 60% to 65% of revenue at Caylloma, again. At $18 silver, we should see that contribution come down to around 50%, so that will have an impact on our consolidated revenue composition as well.
Unidentified Analyst: Yes. Again, I am trying to get a sense whether or not you are in a position today to talk about how 2014 based on current mine planned production might look in terms of consolidated silver, gold, lead zinc revenue contribution.
Jorge Ganoza: Yes. I don't have a figure at this very moment, but before the end of our call, we can certainly provide an answer. In general terms, again, on a consolidated basis it has been around 65% and San Jose contribute a larger portion of our total revenue, which should offset the lower contribution of silver coming from Caylloma. Again, let us provide our figure in the next minute or so, but we should expect to see it come down somewhat.
Unidentified Analyst: Silver?
Jorge Ganoza: Yes. 65%, we will expect it to see come down somewhat in 2014. As we continue to over call, I should be able to give an answer.
Unidentified Analyst: Good. Thank you. Those are my questions.
Operator: Thank you. We have no further questions at this time. I would like to turn the floor back over to management for closing remarks.
Luis Ganoza: I would like to thank everyone who joined us.
Jorge Ganoza: I would like to thank everybody for joining this morning and we had a pending answer that I think we can get back to the caller and provide the figures.
Luis Ganoza: Thank you, Jorge. Okay. So, if there are no further questions, I would like to thank everyone for listening to today's earnings call. We look forward to you joining us next quarter. Thank you very much. Have a very productive day. Stay well.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.